Operator: Good afternoon, ladies and gentlemen. Welcome everyone to the Nextech3D.ai Q1 2023 Results Conference Call. [Operator Instructions] I would like to remind everyone that this call is being recorded on today, Thursday, May 18, 2023.  And I will now turn the call over to Ms. Lindsay Betts, Investor Relations at Nextech3D.ai. Lindsay, please go ahead.
Lindsay Betts: Hello and welcome to the Nextech Q1 2023 earnings call. With me on the call are Evan Gappelberg, Chief Executive Officer; and Andrew Chan, Chief Financial Officer. Today, after markets closed Nextech3D.ai released its unaudited financial and operating results for its first quarter ended March 31, 2023. A copy of the earnings disclosure will be available on our website and on SEDAR once our audit is complete. Some of the information discussed on this call is based on information as of today, May 18, 2023, and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release as well as in our SEDAR filings.  During this call, we will discuss the IFRS results and key performance indicators. A detailed description of our key performance indicators will be available once our audit is complete and our MD&A is filed on SEDAR. Neither this call nor the webcast archives maybe recorded or otherwise reproduced or distributed without prior written permission from Nextech. To begin our call, Evan Gappelberg, CEO will discuss Q1 2023 highlights as well as recent business developments, followed by Andrew Chan, CFO, who will review our financial results and outlook. Finally, Evan will provide closing remarks before opening up the line for a question-and-answer period. I'll now turn the call over to CEO and Founder of Nextech3D.ai, Evan Gappelberg.
Evan Gappelberg: Thank you, Lindsay. So today, we reported a surge in our year-over-year 3D modeling business with 550% growth, record revenue for the first quarter in 2023. We in Q1 had multiple breakthrough generative AI patents filed. We delivered over 20,000 3D models to Amazon and we saw our technology services revenue grow sequentially by 40%. So I would say that Q1 was a solid quarter by all measurements. And when I look at today's numbers, they really are just the beginning of our new growth curve, as we are perfectly positioned to ride the $100 billion 3D modeling growth wave for the next decade and beyond. If you look at 2023, it is a very, very interesting year. Microsoft has invested $10 billion into their investment in OpenAI. And obviously, ChatGPT is the first breakout and breakthrough in this world of AI. It's the first major AI application. The key point is that Microsoft invested $1 billion in OpenAI before they had even a working prototype because of the immense potential. Then they invested another $10 billion at a $28 billion valuation and they were only generating around $3 million in revenue, that's 9,000x sales. That's extraordinary valuation. We did $3 million in revenue in 2022. The key point is that, I believe that, as an AI company, Nextech is severely undervalued and primarily in my view because we are under the radar. We are a small cap. We have no institutional sponsorship. But I would say to our investors that, that can change. That can change very, very rapidly with an up-listing to NASDAQ or the New York Stock Exchange, which should not be ruled out of the realm of what's possible. In the world of AI, the question comes up a lot, is AI the new electricity? Is AI this new form of intelligence that the world has never seen? Is AI going to be as persuasive and pervasive as the Internet? These questions, I read in the news and I'm sure you do too, on a daily basis. The answer is a definite yes and a whole lot more. The opportunity presented by AI is vast. Late last month, at NVIDIA's Annual GPU Technology Conference, the CEO, Huang, acknowledged this pivotal time for AI technology, calling it the iPhone moment for AI.  AI, however, is not a new technology. I remember AI growing up, being talked about. And it was predicted decades ago to have a major impact on society. But only now in 2023 is that dream becoming a reality. Only in 2023 is the AI genie out of the bottle. AI has arrived, and it's here to stay for good and bad. Big tech is jumping in with both feet, as mentioned, Microsoft has put $10 billion into OpenAI, but it doesn't end there. Some of the best known names in investing are betting big on artificial intelligent stocks. Bill Ackman recently put in $1 billion into his bet in Google, here in Alphabet; Stanley Druckenmiller, has put $0.5 billion into Microsoft and NVIDIA; Tiger Global, Cathie Wood, they are all super bullish on AI. Every industry will be forced to adopt AI in order to remain competitive. It doesn't matter what industry you are in. If it's education, it's healthcare, transportation, the military or e-commerce, AI is going to have to play a role. If you don't adopt, you will not survive. Lucky for Nextech and Nextech shareholders. We don't need to play catch up. Make no mistake about it, 2023 is going down in the history books to be the year of AI, not just the big boys, but also for Nextech3D.ai shareholders. In fact, we have been investing in AI going all the way back to 2019. However, we really ramped up our investment in the summer of 2021 when we put $10 million down to buy 3D.ai. That was a big bet back then. Today, I'm happy to report that this investment is now starting to pay dividends. But it really, again, is just the beginning. I want to go through some math. Just to show our investors and speak to how potent AI can be for Nextech. And how it helps us to succeed in business and how it's going to increase our share price. And why the world is literally running head first into AI. It really can be summed up in one word, productivity. AI equals productivity. What is productivity? What does productivity mean? Well, I mean, if you are productive, it means you do a lot. You create or produce large amounts of something. A productive worker makes more widgets than the slacker, who keeps sneaking out to get a cup of coffee and chit chat. What is productivity for Nextech? For us, productivity is the measure of output per worker per hour. And that's not just us, that's across all companies. But as a 3D modeling company, as a 3D supplier for the e-commerce industry, we can measure our productivity by evaluating the number or value of finished 3D models produced by every worker within a given amount of time. So let's bring this back to productivity again for Nextech and 3D models.  Technology has improved our productivity of making 3D models dramatically since we started back in 2019. It used to take us a week to make a photorealistic 3D model, five days, working 9:00 to 5:00, seven hours a day. That's 35 hours to make one photorealistic highly complex model back in 2019. Today, our productivity has improved without the AI to two models per day, or one human making one complex 3D models every 3.5 hours. So we went from 35 hours to 3.5, which is pretty damn good. And I have to say that's a big accomplishment. But remember, we're talking about AI. We're talking about a quantum leap in productivity for humans and businesses. A single human can only do two 3D models a day. They work 365 days a year with no holidays. That's 730 a year. Not that many. Hard to scale, even at 10x. So 10x is not enough. It's not enough. So, if we think about our business and just to be crystal clear, that example relates to a highly complex photorealistic model. We are able to produce significantly more for simple models. We can produce simple models 3x as fast. And again, I'm not talking AI, and again, I'm using a super complex, highly complex model just to explain what's happening in our business.  Now, here's where it gets interesting, and this is where AI comes in. Back in 2021, we were dreaming that AI could be a game changer. And as mentioned, we invested $10 million into AI in 2021. We believed that after an enormous amount of computational power, after an enormous amount of algorithm testing and working tirelessly seven days a week on this idea, this dream, that AI was going to increase our productivity at Nextech, that we would be able to use AI to make 3D models. We believe that, that we could take these highly complex 3D models that takes a human 3.5 hours. We believed that by using generative AI, that we could create the same model in 60 seconds.  So now we're at 210 minutes. 3.5 hours, 210 minutes, down to one. But it gets better because AI works not seven hours a day, it works 24 hours a day. Not five days a week, works seven days a week. Doesn't have any vacations, never get sick. So, think about scale. Scale means we could run multiple algorithms simultaneously. If you think of ChatGPT being used by one person or think of ChatGPT using simultaneously by 1 million people at the same time, that's called hyperscale. That's what Nextech 3D AI is after. This is what's happening. This is why I'm here. This is what you have invested in, whether you realized it or not when you invested. This is and has always been the goal.  Now, let's keep going a bit with the math. Remember, we're going for one model every 60 seconds, and that's 24 hours a day. So if we continue, there's 1,440 minutes in a day. If we're selling the models at a $100 per model, and of course the price is going to go down as we continue to scale up, but let's use a $100 a model, which is an average price today. That means we can generate $144,000 a day; in a week, $1 million; in a month, $4.2 million; in a year, $52 million. The best part is that not only are we able to use our generative AI to scale production, but with the increase in production is the decrease in cost. It goes down simultaneously since less humans are needed, which gets us to a 90% gross profit margin. There's still going to be some human, but it's going to be at the margin.  I think the question that everybody wants to ask, and I know Lisa's dying to ask this question, is, where are we with this dream today? Where are we? Today, our breakthrough generative AI can do about 40% or 50% of the work, but this is moving fast, very fast. Each week in each month, the AI is gaining strength, and it's only a matter of a few quarters before it fully stands up and does a 100% end-to-end production. That is what we're after, and that is what we're marching towards. So today, we're at about 20% of the way to achieving this. We're on the path to this inevitable reality. We have the breakthrough generative AI. We're using it in our production, but it's not strong enough to fully be autonomous, much like the Tesla car. It simply takes time. But now that the AI genie is out of the bottle, it is inevitable. So we have filed patents. Many patents, and there is more coming. We are building our moat around our golden goose, around our proprietary breakthrough generative AI. We are on the path to high volume photorealistic 3D models at a low cost high margin for the global $5.5 trillion e-com ecosystem, which is going to represent 95% of all commerce. I'm talking e-commerce is going to be all commerce essentially. Today, it's 16%, but by 2040, it could be a $50 trillion industry. This is a titanic ship in how we shop. It will all be online, and it will all be in 3D. And the only way to get there is through Nextech's generative AI. We have already achieved a 10x increase in productivity, but now we are on the path to a quantum leap forward by leveraging our generative AI. Because of this breakthrough technology, that we have patent pending, that we are using today, I believe that, we, meaning Nextech should command a much higher valuation. I believe that Nextech and all our portfolio companies are worth 5x what they're traded for today. And when we achieve our AI dream, 20x. This is based on other valuations in the space. This isn't hype. And in my opinion, this is going to play out over the next few quarters. When we look back, we see 2022 as a transformational year, where we divested ourselves of our legacy businesses, where we got focused on our AI, where we landed Amazon. So now we have a path to profitability with the largest e-commerce site on the planet as our #1 customer, but not our only customer, because we also supply Kohl's, Target, Dyson and others. But in 2022, we saw demand start to ramp. As we look forward in 2023, I see it going down in history as the year of AI. And for us, it will provide us with a quantum leap in productivity and earnings. The demand for 3D models in e-commerce will only accelerate throughout 2023. And I believe that in 2023, we can see demand shift into overdrive, which will have significant impact on our evaluation. As mentioned by 2040, 95% of commerce will be online and shopping in 3D and augmented reality will be the new normal. If companies do not adopt this technology today, they will be left behind by their competitors. So everything is perfectly aligned for Nextech to experience dramatic growth over the coming quarters and years. And as we improve our AI and the 3D model production capabilities, our margins are going to improve. So in 2023, if you think about Nextech and you think about us generating significant revenue quarter after quarter and having our margins pushed towards 90% with our generative AI technology producing an ever increasing volume of 3D models, you start to get the picture that this is going to be a year where Nextech makes history, where we drive the company to profitability for many years to come. And while this alone is exciting for me, it gets even better.  We have a portfolio of AI companies. Remember 2023 is a year of AI. Our 3D modeling AI, I think I just laid out the bull case, but apart from ARitize3D and 3D modeling, we own a portfolio of valuable companies that contain breakthrough AI technology and industry disrupting products. We've been working towards unlocking the value of these assets and businesses. One of them has already been spun out and that's ARway. And I'm only going to say one thing about ARway, we are very, very close to signing multiple significant enterprise contracts with brand names. So stay tuned.  The second spin out is Toggle3D.ai, which is a pure place SaaS AI platform. It's fully funded with about $2 million in escrow raised and investors that own shares in Nextech will get a free stock dividend in the first half of June when Toggle3D goes public, which is just a few weeks away. Couldn't be more excited for that IPO to happen. And then of course we have Map Dynamics now, Nextech Event Solutions, which we've integrated multiple technologies into, and that is a game-changing events platform that we think is going to disrupt the $50 billion live events industry.  So in summary, I'm extremely excited about the growth prospects of our 3D modeling and AR business in 2023 and beyond. Nextech3D.ai continues to gain traction in the 3D and AI technology space by signing new deals and building and investing in its AI powered technology. We are now a pure play AI tech company, and in my opinion our valuation is about to change in a dramatic fashion to the upside as we get recognized as an AI pure play technology company supplying Amazon with 3D models. Oh, yes and we're actually a preferred supplier to Amazon, which not every supplier is. And when Amazon comes out and they will, and they put out a press release announcing they're all in on 3D models, watch and see what happens.  In closing, Nextech's capture of market share within this new 3D modeling industry is just getting started. Again, in case you can't tell, I've never been more excited, never been more confident about the position that our company is in and about the opportunity that we have in front of us to be the dominant AI powered 3D model platform for e-commerce.  Before turning the call over, I'd like to thank all of our experienced executive leadership team for their hard work and dedication, and I want to thank every Nextech employee that works day in and day out, striving for success with me trying to achieve our company's goals. I have full confidence in our company's direction and I'm looking forward to our continued growth in 2023 and beyond.  With that, I'll turn the call over to Nextech's Chief Financial Officer, Andrew Chan. Take it away, Andrew. 
Andrew Chan : Thank you, Evan, and good afternoon. As a reminder, unless otherwise noted, all figures reported on today's call are in Canadian dollars under IFRS. All the preceding financial information are unaudited and was made available through today's press release and also available on our website and on SEDAR.  Also, as a note, this is the first quarter outside of our recently filed annual financial results that we are presenting our financial results, excluding our discontinued operations, our legacy business with the removal of such results for comparative purposes.  To start off, our technology revenue for the quarter was $1.3 million, up 40% from sequential Q4 2022 and up 156% compared to the same quarter last year. 3D modeling revenue increased 550% from the same period last year, contributing $900,000 this quarter. We continue to expand our relationship with marquee customers such as Amazon and continue to see consistent repeat revenue from our live events Map D platform throughout this quarter. Gross profits increased sequentially to 41% from 39% last quarter. We anticipate gross profit margins to increase even more as we continue to implement AI technologies in our 3D model production process to allow us to increase our model creation capacity at scale.  Operating expenses for the quarter was $6.9 million, which includes a $1.8 million contribution from ARway consolidation. Cash expenses, excluding ARway, was $4.4 million, down $1 million from Q4 of 2022 and down $1.3 million from the same period last year. Sales and marketing expense, excluding ARway, was $1.3 million this year, which included non-cash one-time Investor Relation expense of $450,000, removal of which would've put us in line with our Q2 -- sorry, our Q4 2022 spend.  General and administrative expenses excluding ARway was $2.3 million, down $2 million from Q4 of 2022 due to some one-time expenses related to the spinout that was recorded last quarter. Research and development costs remain consistent with previous quarters at about $900,000. To help offset the cash outlay for these expenditures, our previously announced employee shares for services compensation plan contributed $1.6 million this quarter. Net loss from continuing operations for the year was $6.6 million and excluding ARway, net loss would be $4.8 million which is consistent with Q4 of 2022, and down $2 million from Q1 of 2022. Net loss per share this quarter was $0.06.  As of March 31, 2023, we had a cash balance of $3.5 million. In addition, we just announced that we received $2 million from a financing company to bring forward some of our receivables collections to bolster our cash position and continue to hold 13 million shares of ARway valued at approximately $9 million. This quarter continues to reflect our push towards 3D model making and the adoption of AI, as we seek to scale our business and reduce production costs along the way. I am very excited for what's coming up next in the next few quarters as we see AI implemented into our process, and we continue to embark on this journey. With that, I turn the call back over to Ed.
Evan Gappelberg: Thank you, Andrew. I guess we can open it up for questions now.
Operator: Thank you, Mr. Gappelberg. [Operator Instructions]. And we will take our first question this afternoon from Christopher Sakai at Singular Research.
Unidentified Analyst: Hi guys. This is [Asim] for Chris. Congrats on great quarter. First, like little housekeeping and also congrats on the $2 million financing. If you can give us a little bit color on how this would be treated on the financial statements, on the balance sheet, et cetera, or this is totally off balance sheet?
Evan Gappelberg: No. this -- Hi, [Asim]. This is -- no, this is on the balance sheet. It will be basically payable amounts listed and it's also disclosed as such in the notes this quarter.
Unidentified Analyst: Perfect. Now thanks for actually elaborating on the cost side of the equation in detail this quarter. Obviously, we have been talking about the revenue side and this does point out that we have growth opportunities both on the cross side, that is reduction of cost and the revenues. And what I was wondering is that, for the AI to totally take over the manual building of complex 3D models, how much investment would be needed by company to get there? Or this would be done sort of as the AI is being developed elsewhere and then you would adopt?
Evan Gappelberg: No. We are developing the AI in-house exclusively. We are not outsourcing the development of the AI. And as I mentioned, we are developing it on a daily basis, and it's getting stronger on a weekly basis. And we think that by the end of 2023 that we will achieve the goal.
Unidentified Analyst: Great. And in terms of prioritizing the R&D dollars, how do you kind of see it at this point in the game between AI related or revenue related developments? And the cost related developments?
Evan Gappelberg: The focus is on the AI.
Unidentified Analyst: Okay. So on the cost side, because the revenue side is already sort of -- the trajectory is sort of set in the stone now with the Amazons and Kohl’s of the world. Is that a good way to think? 
Evan Gappelberg: I would not say set in stone. I would say that there's a foundation that's pretty set in stone, but there's plenty of upside. Because as everybody should know by now, Amazon has not opened up Seller Central yet to allow the millions of merchants to bring 3D models on. But that's still in the cards. And when that happens, that will change things quite dramatically. So we expect a surge in additional business in the second half of the year. 
Operator: We'll go next now to Lisa Thompson at Zacks. 
Lisa Thompson: Glad to see the quarter come in as expected. Things are looking really good. So I have a few questions about a few things. First off, this loan that you got of $2 million, what's the capacity of what you could borrow based on your contracts or…? 
Evan Gappelberg : It's basically unlimited. It's based on purchase orders. So as we get purchase orders, they give us a percentage of the value of the purchase order and there's no cap to it. 
Lisa Thompson: Well, the cap is how many purchase orders you have, right? 
Evan Gappelberg : Yes, exactly. It's based on our ability to land business. Not -- they don't put a cap on it. 
Lisa Thompson: Oh, right. Okay. So, well, I assume that you're going to just keep borrowing more each quarter as you need the cash. Is that how it works? 
Evan Gappelberg : I mean, it's totally dependent on what's happening in our business. At the moment as mentioned, it gives us financial flexibility. So it's another opportunity for us to access non-dilutive capital and we we're basically going to analyze our business and make decisions as it comes. 
Lisa Thompson: Okay. And since we're halfway through this quarter, can you give us a feel for what Q2 might look like? 
Evan Gappelberg : Q2 is looking good. I mean, it's -- there's a number of significant deals that are out there, and that are expected to close. And these are new deals. And so, when those new deals close, which again, we do expect to happen in Q2, that will have a material positive impact on Q2. But until they close, it's hard for me to give you a number other than to say that Q2 is looking strong. 
Lisa Thompson: Do you think it'll be as much as 40% sequential again? 
Evan Gappelberg : It could be, yes. 
Lisa Thompson: Okay, cool. The one thing I just want to allay -- find out what this is. Last quarter you said, that you wanted to deliver $700,000 worth of models to Amazon, but they went on Christmas vacation and couldn't accept it. So I would -- for people that are concerned that on the day they opened the door and you dumped the $700,000 in their inbox, the rest of the quarter you only did 1.3 minus $700,000 or how did that work? 
Evan Gappelberg: No, no, no, no. That's not what happened. So in Q4, we delivered a portion of that $700,000, but there was a portion of that did not get delivered. And so that's all that, that speaks to. That's all. There was some were delivered, some weren't. Some rolled into 2023, just like any -- so it shouldn't -- yes.
Lisa Thompson: So it shouldn't be concerned that it slipped into Q1 and that Q1 would've been worse without that? 
Evan Gappelberg: No, no, the $700,000 did not slip into Q1, no. 
Lisa Thompson: Just wanted to make sure on that because it could be a concern. Okay. So I guess my last question is, you said Amazon still hasn't opened up Seller Central. Do you know what's holding it up? Or is that a just a big mystery to the world? 
Evan Gappelberg: No, we talk to them all the time. And what they say to us is very honest and sincere that when they open it up, it's forever, which means it has to be 100% functional. It's a big, big piece of technology that they've built in-house. And we are part of that build. We use the technology that they've built today. We're part of the team that uses that to bring 3D models onto the platform. We're bringing our select customers over the wall onto the Amazon Seller Central platform and publishing 3D models. But it's manual. They're waiting for the tech to be perfect and then it's going to be automated. And so they're going to decide when it's perfect. I mean, we're still working with it, but it's not like the floodgates have opened. It's just kind of a trickle right now. 
Lisa Thompson: Okay. So if they're waiting for tech to happen. 
Evan Gappelberg: Yes, they're waiting for perfection. I mean from our standpoint, it works, where we use their tech. But from their standpoint, they're still making sure it's perfect and they pulled us -- again, when they launch it, it's forever and it's got to be perfect. I mean, you're talking about millions of users, right? So it can't have hiccups. 
Lisa Thompson: All right. So I guess one last question on Toggle. The record date is -- you said it's going to be public by the first half of June. So when's the record date? 
Evan Gappelberg: It'll be -- I don't have a record date, but it's going to be obviously the first half of June, so we expect it to be trading before June 15. 
Lisa Thompson: Okay. Good. All right. We'll look for the press release. Thank you so much.
Operator: [Operator Instructions] And we'll go next now to Scott Buck at H.C. Wainwright. 
Scott Buck : Congrats on all the progress. Evan, you guys were able to announce over the last couple of weeks a couple contract renewals and expansions. I'm just curious what makes you guys such a strong partner for these e-commerce companies? Is it your speed to market, pricing or the quality of the product itself?
Evan Gappelberg: It's a good question. I would say that from the standpoint of speed and being able to scale, yes, you could check the box. But ultimately, I think it's our white glove service that really gets them excited. I mean, these guys are up to their eyeballs in their business and they see us as an extension of their business. They don't necessarily want to be managing the 3D models themselves. So we basically do a lot of the heavy lifting for them, and that's something that they really value. And so they see us, I think, as a partner, not just as like a service provider. And that's why they keep coming back.
Scott Buck : That's helpful, Evan. And I was curious on OpEx. You guys have done a nice job kind of reigning that in over the past few quarters. Is this level of OpEx spending something that you can maintain, as the revenue line continues to scale here in the second half of the year?
Evan Gappelberg: Actually, we think that there is potential for more efficiencies. We are working extremely hard to get the business to cash flow positive and the AI is going to do a lot of the heavy lifting, but it's managing the expenses as well. And so we see it going down from here.
Scott Buck : Great. That's helpful. Is there a meaningful piece of OpEx that comes out with the Toggle spin out?
Evan Gappelberg: It's about 100 a month.
Andrew Chan: Yes, it's about 100, 125 per month.
Scott Buck : Okay, that's really helpful. And then last one for me. You teased it in your remarks a little bit. Where are your thoughts on up-listing and potential timing around that?
Evan Gappelberg: All I would say is that it's always been top of mind. I am not unaware of the fact that up-listing is going to get us the institutional sponsorship that we should have, which would increase our valuation. So I would say that it is a priority. And it is something that we think can happen in 2023. It's hard for me to put an actual time on it. I don't want to end up with egg on my face, Scott. But it's definitely something that we are focused on.
Scott Buck : All right. That's fair. Appreciate the time, guys. Thank you very much.
Operator: We'll take a question now from Michael Sarah, a Private Investor.
Unidentified Analyst: Good afternoon, everybody. And again, also congratulations on all the work you folks are doing and moving the ball forward. I have I think two questions. The first one is, how many patents do we have registered and how many do we have in the process?
Evan Gappelberg: I think there's a total of 7 or 8.
Unidentified Analyst: That are registered.
Evan Gappelberg: And/or in process, combined.
Unidentified Analyst: Oh, I see.
Andrew Chan: Yes, there are 6 that are registered and 2 in the process. 
Unidentified Analyst: Yes. That's fantastic. And it sounded like from, I believe Evan's comments that we are going to file even more, of course as the generative AI and surrounding -- technologies that surround it improve, and we come through with more unique technologies that we can also file with the USB, PTO, et cetera. 
Evan Gappelberg: Yes. 
Unidentified Analyst: Second question, and I don't know if this was already addressed. What about companies like -- are we in conversations with companies like eBay, Alibaba, et cetera? 
Evan Gappelberg: So eBay is a platform similar to Amazon. So they have to build the tech for our tech to be able to integrate and same thing kind of goes with Alibaba. 
Unidentified Analyst: Got you. Okay. Last question is, the status of any pending lawsuits, whether they're material or not? 
Evan Gappelberg: There's nothing material out there. 
Unidentified Analyst: Yes. What about non-material? 
Evan Gappelberg: There's nothing non-material that I'm going to discuss on this call. As a public company, there's always nuisance lawsuit. I mean, it's what happens. So there's no reason.
Unidentified Analyst : But it's nothing material that would affect say, 5% of the stock soap. 
Andrew Chan : No. 
Unidentified Analyst : That sounds good. Well again thank you so much. I'm sure, I'm going to be buying more shares tomorrow. Well, it's been kind of tough because my wife, she's like, well, we have this and we have that, and that stock has just plummeted and I guess you were wrong about that one. I'm like, geez, honey, really? I mean, I’m sorry I don't want that…
Evan Gappelberg: How many…
Unidentified Analyst : I'm sorry I don’t want that 50 foot yard. But yes, it looks like a very good buying opportunity. Everyone knows this is a growth company. It's going to take some time, six months to a year to achieve cash flow and to get the numbers into positive. Actually, I did have one last question. It just also may have been addressed, I think by somebody. With the $2 million that we received, any revenue that we receive that just goes to them, and then it's taken off our balance sheet? 
Evan Gappelberg: Yes. I mean, basically not any revenue, but there's revenue tied to that $2 million that -- yes, essentially, we've been able to access the future revenue. So as the account -- as we get paid, they -- we pay off that $2 million, yes. 
Unidentified Analyst : Got it. Okay, well thank you so much. And you guys just always remember to drive safe and get your rest because you're going to need it. 
Operator: Thank you. We take our next question now from Asad Rashid at Private Investor. 
Unidentified Analyst: Hi, Evan. First of all, thank you for everything you're doing. The markets are shit, but this is probably one of the few companies that I really have faith in. So, thank you for what you're doing. My question -- sorry, I just signed in right now, so I'm not sure if this has been addressed but is there any concrete dates yet with the integration with Toggle3D and Amazon? 
Evan Gappelberg: So, Toggle3D is going to be spun out in this first half of June. So that's in the next couple of weeks. And basically, Toggle3D does some of the AI work on our 3D models that we supply to Amazon. So to answer your question, Toggle3D is part of the AI story and it is working quite well for our Amazon relationship. 
Unidentified Analyst: Okay. So, is -- maybe I got this wrong. But it was my understanding that the Toggle3D's quorum was to be used by vendors. Like it was -- it would be an option for vendors on Seller Central. Is that the case? 
Evan Gappelberg: Not yet. No. 
Unidentified Analyst: Not yet. Okay. Is there -- are you current institutional investors as of yet, or…?
Evan Gappelberg: Not really, which is why we keep looking for NASDAQ or New York Stock Exchange because institutional investors are restricted from investing in companies that aren't listed. So that's the primary reason. 
Operator: And Mr. Gappelberg, it appears we have no further questions this afternoon. I'd like to turn the conference back to you for any closing comments. 
Evan Gappelberg : All right. Just wanted to thank everybody for joining us today. We are on the path to achieve our AI dream and today's numbers really are just the beginning. Thank you and everybody have a great evening. 
Operator: Thank you, Mr. Gappelberg. Again, ladies and gentlemen, thank you for joining Nextech3D.ai's Q1 2023 results conference call. I'd like to thank you all so much for joining us, and wish you all a great evening. Goodbye.